Operator: Thank you for standing by. This is the conference operator. Welcome to the ATCO Limited Fourth Quarter and Year-End 2021 Results Conference Call and Webcast. As a reminder, all participants are in listen-only mode. And the conference is being recorded. [Operator Instructions] I would now like to turn the conference over to Mr. Colin Jackson, Senior Vice President, Finance, Treasury, Risk and Sustainability. Please go ahead, Mr. Jackson.
Colin Jackson:
’: With me today is Executive Vice President and Chief Financial and Investment Officer, Katie Patrick. Katie will begin today with some opening comments on recent company developments and our financial results. Following these prepared remarks, we will take questions from the investment community. Please note that a replay of the conference call and a transcript will be available on our website at atco.com and can be found in the Investors section under the heading Events and Presentations.
’: With me today is Executive Vice President and Chief Financial and Investment Officer, Katie Patrick. Katie will begin today with some opening comments on recent company developments and our financial results. Following these prepared remarks, we will take questions from the investment community. Please note that a replay of the conference call and a transcript will be available on our website at atco.com and can be found in the Investors section under the heading Events and Presentations.
’:
’:
’:
Katie Patrick:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
’: Moving on to our Structures & Logistics business, which comprises both ATCO Structures and ATCO Frontec. The team had a number of project successes in 2021. In the fourth quarter of 2021, ATCO Structures was awarded a contract for the construction of a workforce housing facility in Carapa Australia. This project, with long-term partner Bechtel, will provide accommodations for 2,500 workers involved in the Pluto Train 2 LNG expansion. This brownfield expansion will see the construction of a second natural gas processing train, significantly increasing the capacity for this facility.
’: Moving on to our Structures & Logistics business, which comprises both ATCO Structures and ATCO Frontec. The team had a number of project successes in 2021. In the fourth quarter of 2021, ATCO Structures was awarded a contract for the construction of a workforce housing facility in Carapa Australia. This project, with long-term partner Bechtel, will provide accommodations for 2,500 workers involved in the Pluto Train 2 LNG expansion. This brownfield expansion will see the construction of a second natural gas processing train, significantly increasing the capacity for this facility.
’: Moving on to our Structures & Logistics business, which comprises both ATCO Structures and ATCO Frontec. The team had a number of project successes in 2021. In the fourth quarter of 2021, ATCO Structures was awarded a contract for the construction of a workforce housing facility in Carapa Australia. This project, with long-term partner Bechtel, will provide accommodations for 2,500 workers involved in the Pluto Train 2 LNG expansion. This brownfield expansion will see the construction of a second natural gas processing train, significantly increasing the capacity for this facility.
’:
’:
’:
’:
’:
’:
’:
’:
’:
’:
Colin Jackson: Thank you, Katie. [Operator Instructions] I will now turn it over to Claudia, the conference coordinator, for your questions.
Operator: Thank you. [Operator Instructions]. The Investor Relations team will follow up with you by e-mail after the call. [Operator Instructions] Our first question is from Maurice Choy with RBC Capital Markets.
Maurice Choy: My first question is on the Structures & Logistics segment. Obviously, ATCO has had another year where earnings were above $50 million [indiscernible] from the single-digit earnings result in 2017. And I recognize that the contract earnings can be lumpy. But would you say that the business has reached a point where earnings are now sustainable at these levels? And if not, what portion do you think is a reliable run rate, particularly when you think about the rental business or maybe your Frontec business where the terms tend to be a little bit longer?
Katie Patrick:
’:
’:
’:
Maurice Choy: Great. And my second question relates to Neltume Ports. Globally, there obviously has been supply chain issues and some ports has seen record-setting volumes. I recognize that Neltume Ports has a wide range of ports with different contracts, volumes, products. And the diversity here should generally mean predictable results. That said, under what market conditions would we see this business do greater than, say, the $3 million to $4 million per quarter run rate?
Katie Patrick:
’:
’:
’:
’:
’:
’:
’:
Maurice Choy: And just as a quick follow-up. How do you compare returns that Neltume Port sees for these capital deployment opportunities versus, say, the types of opportunities that ATCO as a whole has right now?
Katie Patrick:
’:
’:
Operator: Our next question is from Linda Ezergailis with TD Securities.
Linda Ezergailis:
’:
Katie Patrick:
’:
’:
’:
’:
’:
Linda Ezergailis:
’:
Katie Patrick:
’:
’:
’:
’:
’:
’:
’:
Operator: Our next question is from Andrew Kuske with Credit Suisse.
Andrew Kuske:
’:
Katie Patrick:
’:
’:
’:
’:
’:
’:
Andrew Kuske:
’:
’:
Katie Patrick:
’:
’:
’:
’:
’:
Operator: [Operator Instructions] Our next question is from Mark Jarvi with CIBC Capital Markets.
Mark Jarvi:
’:
Katie Patrick:
’:
Mark Jarvi:
’:
Katie Patrick:
’:
’:
Mark Jarvi:
’:
Katie Patrick:
’:
’:
’:
’:
Operator: [Operator Instructions] There are no further questions registered at this time. I would like to turn the conference back over to Mr. Colin Jackson for any closing remarks.
Colin Jackson: Thank you, Claudia, and thank you all for participating today. We appreciate your interest in ATCO, and we look forward to speaking with you again soon. Thanks again.
Operator:
’: